Operator: Good afternoon. Thank you for standing by, and welcome to the VINCI 9 month 2023 revenue conference call. [Operator Instructions] The conference is being recorded. [Operator Instructions]
 At this time, I would like to turn the conference over to Mr. Gregoire Thibault, Head of Investor Relations. Please go ahead, sir. 
Gregoire Thibault: Thank you, everybody, for attending this concall today with the Investor Relations team Boris Valet and Marie Richard. And as usual, we'll try to be brief for a long time for the Q&A and because I know there are other conference calls this evening [indiscernible]. So what are the key takeaways of this publication? First, a solid operating performance overall in Q3, strong business results with Q3 revenue of EUR 18.3 billion, up 9% year-on-year.
 This trend confirms the dynamism of VINCI's businesses, both in France and abroad. I will give you more granularity later in my presentation. In the first 9 months of 2023, total revenue amounted to EUR 50.6 billion, up 12% year-on-year and 10% like-for-like. International revenue made up a new record 57% of the group total. International revenues are up 18% and up 15% like-for-like. Changes in scope were brought in mostly by OMA in Mexico VINCI Airports and our recent acquisition made by VINCI Energies, including Kontron AG and Otera AS in Norway.
 Exchange rate movements had a slight negative impact on revenue because the euro rose against several currencies of which the sterling and the dollar. [ France ] for the 3% of the total revenue was up 5% in 9 months. Point number 2, Group's order intake were well against EUR 47.8 billion in the first 9 months, plus 16% year-on-year, of which [indiscernible] plus 13% in Q3 '23 versus Q3 '22. This good momentum is due to strong flow business and several recent large contracts.
 In total, the order book of VINCI reached a new all-time high level of more than EUR 63 million at the end of September. This is 10% year-on-year, representing 14 months of average activity. International made up 68% of the order book. Such a large order book with good visibility, [ fluidity ] enables VINCI to remain selective in terms of new business.
 Point number 3, regarding the financial position, the net financial debt at VINCI at the end of September, was under control which amounted to EUR 18.6 billion, down EUR 1.5 billion year-on-year and almost stable related to the level seen at the end of 2022, despite the acquisition completed during the period and despite the payment of the final dividend 2022. It means, in other words, that the cash generation was robust in Q3 and year-to-date.
 VINCI liquidity remains substantial with a managed net cash of EUR 10.6 billion and EUR 8 billion of [ RCF ]. As a result, with such a sound financial position, VINCI is well prepared to continue its development. Last but not least, in view of its solid performance year-to-date, the group revised upwards the free cash flow guidance for 2023. The free cash flow is now expected to be up at least EUR 4.5 billion.
 Let's now [indiscernible]  division. VINCI Autoroutes 9 months revenue up 5% to EUR 4.9 billion. In September '23 versus September '22, up 2.2%, including a 3% increase for light vehicles buoyed by exceptional summer-like weather condition in France at September. As a result, Q3 '23 traffic reached high-level stable versus Q3 '22. Overall, in the first 9 months, traffic is up 1.3%, of which [indiscernible] was 1.7% despite high fuel prices. [ Heavy vehicles ] traffic were slightly down partly because of negative calendar effects with 2 fewer working days year-to-date compared to last year.
 VINCI Airports, 9 months revenue of EUR 3 billion, up 49% on an actual basis and plus 27% like-for-like. You have already seen the traffic figure published 2 weeks ago. They consider the continued strong recovery in air traffic in Q3. VINCI Airport achieved record passenger numbers with Portugal, Serbia, Mexico and the Dominican Republic. In Japan, pax numbers continued to show a firm recovery on international routes. Overall, passenger numbers in 9 months '23, equal 93% of delivered in 9 months '19 for the secondary prices, of which 97% in Q3 and 99% in September.
 VINCI Energies 9 months revenue of EUR 13.9 billion, more than what was generated in the full year 2019. Thus the 9 months revenue was up 17% and 12% like-for-like. As a record for you to take away after a very robust H1, VINCI Energies continued to deliver strong revenue growth in Q3, plus 15% versus Q3 '22. International growth even accelerated relative to the Q2, both on an actual basis and like-for-like. Order intake of VINCI Energies still remains very strong, continuing new recall on a rolling 12-month basis of more than EUR 20 billion.
 In the first 9 months, our order intake of VINCI Energy were up 19%, of which 17% in Q3. VINCI Energies order book amounted to EUR 14.7 billion, up 16% year-on-year representing more than 9 months of average activity. This outstanding overall performance reflects the very solid position of VINCI Energies' companies with respective to energy and digital transition megatrends both in France and abroad. Finally, please note that VINCI Energies remain active on the M&A front as we completed 25 acquisitions in the first 9 months '23, representing a full-year revenue of around EUR 350 million.
 Cobra IS, 9 months revenue of EUR 4.7 billion, up 14% with 46% of income from Spain and 32% from Latin America. In Spain, revenue was up 16%. Outside Spain, revenue was up 13%. As a result, please note that Cobra IS increased its strategic share offering in the Q3 with growth of 13%, beating Q2 growth year of 9%. This momentum is being driven by strong performance in most of its geographies, both in flow business and in EPC project.
 Order intake of Cobra IS in 9 months rose 31% year-on-year. The revenue saw record levels due in particular to large contracts related to energy transition. In particular, the first of the pre offshore wind energy converter platform of TenneT, the contract which has been announced in April 2023. So the first platform is [indiscernible]. Order book amounted to EUR 14.9 billion plus 33% year-on-year, represented a record 2 years of average activity. About renewable energy production, in addition to the 0.6 gigawatt Belmonte solar farm Brazil, which started generating electricity in May -- July this year. Work begun in Q3 on new solar project in Brazil and Spain with total capacity of 0.6 and 0.2 gigawatt, respectively. Thus, at the end of September, the capacity in operation or under construction in Cobra IS portfolio totaled 1.4 gigawatt. Finally, remember that we will hold a CMD Cobra IS 12 December in Madrid, you are more than welcome.
 VINCI Construction, 9 months revenue of EUR 23.4 billion, up 9% and 10% like-for-like. In a nutshell, VINCI Construction business levels were robust driven by its civil engineering and public works activities. Growth remained very strong in the Q3 outside France with international revenue up 12% like-for-like compared to Q3 '22. While in France, the revenue stabilize at a high level. VINCI Construction also achieved a high level of new orders [indiscernible] 9 months '23 due to good performance in flow business across its main geographical strongholds, along with several recent large contracts such as the section of Line 15 West of the Grand Paris Express alongside VINCI Energies. VINCI Construction order book ended the quarter stable year-on-year at a high level of almost EUR 34 billion, representing 13 months of average activity.
 VINCI Immobilier [indiscernible] of VINCI -- small for the VINCI Group. VINCI Immobilier 9 months revenue amounting to EUR 836 million down 24%. As already mentioned previously, the significant decline in VINCI Immobilier revenue and number of our new units in France, minus 46% in 9 months are the result of very difficult conditions in the French property development sector, which is suffering in particular from high interest rates.
 In comparison, the group confirmed that for 2023, we expect a further increase although more limited than in 2022 in revenue and operating income. We expect as well a net income slightly higher than the level achieved in 2022 despite a substantial increase in financial costs. The outlook on the free cash flow, as I told you in introduction, has been revised as well, which should now be of at least EUR 4.5 billion in 2023.
 In addition, forecast for Concessions traffic has been updated. VINCI Autoroutes now expects traffic levels in 2023 to be slightly higher than in 2022. VINCI Airports is forecasting a further recovery in passenger numbers, which should be close in the Q4 of 2023 to the level seen in the Q4 '19. We would like to thank you for your attention, and we are now ready to take your question. 
Operator: [Operator Instructions] The first question is from Jean-Christophe Lefevre-Moulenq with CIC. 
Jean-Christophe Lefèvre-Moulenq: I have only 2 questions. The first one, could we have a flavor on the motorway traffic in October 1? And secondly, if we have a closer look on VINCI Construction, we have a stabilization of the order book. Is that due to France or to foreign subsidiaries? Order intake is up by 10%. Does that mean that we could have, let's say, a good year 2024 in the constructing, VINCI Construction? 
Gregoire Thibault: Gregoire speaking, I was on mute. So for the in traffic in October, no flavor yet because we will publish the -- traffic in November -- 15th of November. 14th of November so we give it last year [indiscernible] for VINCI Autoroutes and for VINCI Airports, [indiscernible] Regarding construction, as I told you in introduction, the order intake has seen well [indiscernible] for order intake an acceleration in Q3. The order intake were flat in Q2 for VINCI Construction as was in Q2 '22. And now they are stronger in Q3, '23 versus Q3 and '22. And that's true in France. And that's notably true to the big project of Line 15 West. But on the other hand, the flow business remains very solid. So it's pretty reassuring. We don't see any sign of deceleration. That said, it's too early to give you some more colors regarding the activity of 2024. 
Operator: The next question is from Luis Prieto with Kepler. 
Luis Prieto: Greg, I would like to ask if you could provide us with an idea of the potential working capital performance for the year in the context of your updated cash flow guidance? And the second one, more philosophical. Has the regulation change in Mexican airports altered the way or in any way the company's approach to project selection in emerging markets and in general? 
Gregoire Thibault: Yes, probably one of the moving parts of the free cash flow is the working cap and the working cap changes at the end of September, of course, is similar which is totally normal at this stage of the year, but less negative than year-on-year [indiscernible]. We update the situation is better compared to the situation last year at the same period and probably a bit better than what we could have expected. So it means, we have this in advance compared to our budget. So it's one of the reasons, why we decided to be a bit more precise at the rate on free cash flow and as it concerns the operation.
 Second question, with a bit of news flow in Mexico since 2 [ operate ] because you get no read that the intent and start to amend one of the appendices of the concession contract of the 3 private airport operator in this country in order to specify and to redefine and [indiscernible] applicable regulation. Since then, a [indiscernible] really took place since 2 weeks [indiscernible] to discuss the [indiscernible] and that clarified certain points.
 So at the end of the day, let's say, I would say that these amendments do not significantly change the regulation for OMA. And OMA decided not to challenge these amendments. I cannot go more specifically, let's say to be because OMA will publish next week, next Monday. OMA is the listed company, both on the Mexican installation and on the U.S. one. So let's say, I prefer to let the lead today in terms of regulation -- stock exchange regulation effect. 
Luis Prieto: But you said that they're not going to challenge the final form of the amendment given that there's been more constructive dialogue? Is that what -- did I understand correctly? 
Gregoire Thibault: Yes, yes. We are not -- we don't intend to challenge that. OMA -- we are very happy with this investment. And to be frank, traffic has been stellar since OMA joined VINCI Airports at the end of 2022. Traffic was much higher than expected. The outlook is very well oriented in Mexico. So all in all, let's say, we are pretty, let's say, satisfied with the current situation. So the stock exchange reaction 2 or 3 weeks ago was pretty scary for some of you but was probably a bit expensive in a pretty sensitive market currently. 
Operator: Next question is from Elodie Rall with JPMorgan. 
Elodie Rall: Greg, maybe just one question on the French tax, if you could give us a recap of where we are, the impact expected the next step, et cetera. 
Gregoire Thibault: I'm not going more or less to repeat what [indiscernible] at the end of September. And you remember, we did a press release to explain that VINCI is completing these plans, which go against both the letter and the spirit of the concession contracts. And particularly of the contract signed between the French state and the rental and the motorway concession comment. This contract and not by half, includes tax maturity closing. And so we intend to use both the data and [indiscernible]. During the [indiscernible] company data which was not maintain in September show that the government that to apply such a neutrality more over and much more competitive than the government [indiscernible] has been subjected for development.
 That said, I have cited in detail [indiscernible] as provided by Article 32 of the contracts. In fact it resonated 40% of [indiscernible]. And so increasing again proportion, we will not only mean that the French state as concession rental will be breaking as well, [indiscernible] at a time when urgent investments are required to [indiscernible] which accounts more or less for 90% of the total flow of our country of passengers and freight. I cannot say more than that, it's currently being discussed at the [indiscernible]. So it will -- we'll remember by and first, we are commencing [indiscernible] contracts. That's our only asset for motorway. 
Operator: The next question is from Ashish Khetan with Citigroup. 
Ashish Khetan: I just have a couple of questions. First, I wanted some clarity on the reason for increase in guidance for free cash flow. Is it due to better working capital or lower CapEx? The second thing, I wanted to check what is driving the growth in international revenues? Which are the regions where you are expecting higher growth? 
Gregoire Thibault: Ashish, [indiscernible] regarding the free cash flow. It's CapEx, we increased CapEx for renewed development. So one of the driver of the free cash flow is one of the moving parts is working cap and working cap is probably a bit better at this stage than what we expected, okay? The growth international is very dynamic for Airports, very dynamic for VINCI Energies. For VINCI Energies, present [indiscernible] between 50 and 60 countries. And in most of the geographies, the activity is very strong, but [indiscernible] for VINCI Construction activity well oriented as well in the main countries of VINCI Energies, we will [indiscernible] and with the ongoing large projects, like in U.K., like the [indiscernible] between Denmark and Germany, like some motorways projects in Australia, some highway projects in New Zealand, some motorway and highway project in North America. So all in all, the activity is good and the [indiscernible] Spain and North America has been same at 16%. So all in all , we don't see any, let's say, material [indiscernible]. 
Operator: The next question is from Marcin Wojtal of Bank of America. 
Marcin Wojtal: Yes. So a couple of questions. Firstly, could you confirm that you expect your tariff increase on the French motorways for 2024 to be in line with the usual formula of 70% of inflation. Is there perhaps any discussion right now between you and the brand around this topic? And number two, could you comment on your order backlog trends? Obviously, the backlog has been growing. But if I look at the divisional split, at least in the last 2 quarters, all of the growth is driven by Cobra IS and backlog is actually flattish in the last 2 quarters in VINCI Energies and Construction. So what is actually driving that? And would you say there is maybe some sort of flatlining of demand in those 2 important segments? 
Gregoire Thibault: Regarding the total increase for February 2024 is contractual. So I don't know what will be the level of inflation at the end of October, which will be calculated soon. We will put that in the formula of the [indiscernible]. And there is no reason to say, we could not increase the total by 70% seven-zero inflation at the end of October. Second point, I don't see [indiscernible] what you refer to because if I look at the order intake, VINCI Energy is up in 9 months 16%, okay, of which 17% in Q3. 
 So there is no deterioration, which remains quite a very [indiscernible] growth. And so at the end of September, order intake is up 16%. For VINCI Construction order intake is up 10% in 9 months of which 17% a very big Q3 and the order book is flat because at the same time, the level of activity was very strong, notably in international.
 And in Cobra IS ordered reached regard high level, but [indiscernible] by several very large projects [indiscernible] business. So the order book of Cobra IS is up 33% and 9 months order intake of Cobra IS are up 31%. So I comment there is no, let's say, deterioration. 
Operator: The next question is from Graham Hunt with Jefferies. 
Graham Hunt: Just 2 from me. Firstly, maybe could you give us a little bit of color across your airport portfolio, what you're expecting in terms of pricing across the main platforms there next year? And then second question on Cobra. How should we think about margins for this year? And I suppose going forward, particularly with such strong growth and with the converted platforms coming in, which I think have quite attractive margin profiles alone. Just something around that would be helpful. 
Gregoire Thibault: So first, Cobra IS margin, [indiscernible] revenue growth, we don't speak of profitability and margin. So maybe you should keep this question for next month for the CMD for Cobra, okay, so that's the answer. Regarding the Airports, we don't at this stage of the [indiscernible] we did some proposals [indiscernible] depending on the country, depending on the regulation, et cetera, we cannot really comment [indiscernible] of our airports, our portfolio, I think we are working out to almost 90% of the [indiscernible] revenue, which are, let's say, invest directly to CPI than in comparing to -- CPI compared to the local CPI, et cetera. But so all in all, let's say, the business tariff total increase for next year [indiscernible] the CPI.
 In Portugal that currently in discussion for [indiscernible] CPI of almost 10%. For next week, you remember the C&C, the contracts and commitments framework, authorized the airport to increase the rental fee by [indiscernible] France, U.K., more than 10% so that's it. At the end, airports in VINCI in general as been good [indiscernible] despite inflation. 
Operator: The next question is from Luis Prieto with Kepler. 
Luis Prieto: I had a follow-up question. Just out of curiosity, has there been any progress in the strategic review of Polo Carmopolis that I understand was expected to take place this year? 
Gregoire Thibault: It's ongoing but same, you should ask during the CMD of Cobra IS that's the strategic review is -- 
Operator: The next question is from Gregor Kuglitsch with UBS. 
Gregor Kuglitsch: A couple of questions, please. So I read, I think it was a few days ago, that you were selected preferred bidder, I believe, for an airport in Poland. If you could care to comment what the quantum of that is? I think there was a number mentioned in at least from the grantors' side, so you just tell us what the economics are there. And then maybe broadly, I mean, it seems like you're involved in quite a lot of bids seeing something potentially in Australia.
 I think maybe in Hungary, it was also, I think, a press article on a sort of renewables business in Spain. Can you just give us a sense what's going on and whether these are sort of hold true or like maybe it's just a comment on pipeline on things that you're looking at? Maybe then a question on the actual revenue. So you did 11% organic growth in Energy, which I thought was quite strong against the kind of harder comp. Is there any reason why that slows in the short term or does it just sort of ever get harder given the comparison basis? So those were my 2 questions. 
Gregoire Thibault: So in terms of M&A is not so thin. That said, as a general rule, you know we never provide information on this kind of bidding procedure or these kind of [indiscernible]. So I will not -- it can be frustrating for you. I bet. Regarding Poland, specifically, we say the more difficult to comment since the government has changed that we can. So I prefer want to tell anything about that because we don't prevent income information, especially even in a kind of political change like that. 
Gregor Kuglitsch: Makes sense. On energies? 
Gregoire Thibault: Yes. Sorry, because I forgot your second question. I will say that in VINCI Energies [indiscernible] the availability of human resources. But thanks to the organization of VINCI Energies, which is very centralized with many companies, 2,000 business units which finally [indiscernible]. I would say that we are well-positioned. So can [indiscernible] slow down [indiscernible] very low growth cycle. 
Gregor Kuglitsch: Okay. And then maybe -- sorry, a final question, you mentioned, I think, on the renewables that you are a 1.4 giga now. I can't quite remember where that was at the end of half 1, but maybe you can remind me, and you're saying 2 gigawatts by the end of the year. So which projects are actually kind of being launched or which projects you press the go button on? 
Gregoire Thibault: Yes. We have back -- at the end of July, you remember, we opened we commissioned the Belmonte solar project in Brazil. It's a bigger milestone for us because our big renewable asset producer open. So 0.3 gigawatts for Belmonte -- that's in operation. In the last month, the last 3 months, was started on another 0.6 gigawatts of solar projects in Brazil. So it pushes ud our capacity to 1.2 plus, we're starting again in Spain on a certain number of projects cumulating 0.2 gigawatts. So we have [indiscernible] in construction 0.6% in Brazil, plus in Construction 0.3. So in total at the end of the [indiscernible] is made up of capacity of 1.4 gigawatts. And you're right by the end we aim at VINCI 2 gigawatt of assets in operation or under construction. 
Operator: The next question is from Sathish Sivakumar with Citigroup. 
Sathish Sivakumar: This Sathish Sivakumar from Citi. I've got 2 questions here, both in the airport space. Firstly, on Portugal, where we are actually in terms of expansion of the airport given the capacity limitation? And also, what does it mean for you in terms of at being like being divested or prioritized so in terms of expansion as such or do the capacity allocation would come through?
 And then the second is actually across your portfolio, can you give any color on what are you seeing in terms of retail spend on Airport the -- are you still seeing like a steady increase or are you starting to see some normalization there? 
Gregoire Thibault: So regarding the airport, we are not seeing a big change in the consumption of [indiscernible] passengers, in fact, [indiscernible] we exclude Japan, whereas the Chinese passenger numbers are not yet significant. They are not yet free back in Japan. So this will exclude Japan from this analysis, but the spend per [indiscernible] in 2019. That's due to inflation that [indiscernible] that's true as well to our initiative, right? We do it to new stores. We reorganized the stores. We make the stores more dense, more the [indiscernible] business and that's true [indiscernible] So regarding the [indiscernible] no big news at this stage.
 So we knew we are waiting for the strategic and [indiscernible] business, which is ongoing it's been more than 2 years now. So we expect this strategy of the local assessment to be released in H1 2024. And then we'll be very happy to see, let's say, a final decision to develop a new airport capacity in [indiscernible] the new airport is already congested. So for the country for Portugal in order to be able to keep on absorbing flows of tourist, it will be good to go ahead soon. And we are already in way to keep on paying [indiscernible] with the [indiscernible] 
Sathish Sivakumar: Okay. Got it. Just a quick follow-up. So you said outside of Japan, the rest of the airports are still seeing good retail spend per pax momentum. And the Japan is still lack of Chinese tourists on that is what holding it? 
Gregoire Thibault: Yes, the retail traffic is satisfactory, I would say, especially if we exclude the figures of Japan, where there is a distortion because when you have a lot of Chinese, it boosts what you say, a tailwind for the retail performance. So Japan is very exposed to Chinese passengers or for 2019 before the COVID crisis. So as I said, that in Japan, which can [indiscernible], there is room to improve, and it will be down [indiscernible] when Chinese will come back. But in Japan, clearly our retail revenue per pax is well oriented. 
Operator: The next question is from Nicolas Mora with Morgan Stanley. 
Nicolas Mora: Yes. Just a quick one on the order intake. Can you help us understand a little bit what was included in the third quarter, especially for Cobra because there's a fair amount of very large orders, which can easily swing the order intake for the quarter. So for example, did you include the -- any share of the, what, EUR 7 billion contract you have with Siemens Energy on the converter stations you won in April? And then bigger picture, I know you don't want to comment on M&A, but yes, I'm going to give you a strike. Are you seeing a genuine pickup, especially in airports' opportunities following a pretty long crossing of the desert, if not much or this is just newspaper news flow? 
Gregoire Thibault: Yes. Firstly on the strange notion of the [indiscernible] because we OMA in Mexico, we bought 7 airports in North America the [indiscernible] airport. So finally, we did quite a lot in the last year but yes, there is a different. Clearly, [indiscernible] on our M&A team is very busy. I cannot comment very well but I cannot comment more than that. It's not a [indiscernible] improve. And again, we are opportunistic. We are -- we have capital discipline. 
 So we don't do -- but we are looking at very lot of other things. It doesn't mean that that [indiscernible] after regarding order intake, so for [indiscernible] we did the footnotes will explain that in equipment that I have may normal dividends. Right now, for the net operation for the electrical offshore converters, we included the first one, 1 of the 3, okay? So for [indiscernible], it's a bit more than EUR 1 million of order intake. Because if you [indiscernible] about EUR 7 million, roughly 50% for Cobra IS, 50% VINCI Energy. So it is roughly EUR 3.5 million. So we entered in the order book, 1/3 of this EUR 3.5 million. 
Nicolas Mora: Perfect. And just last one -- 
Gregoire Thibault: And one important o VINCI Construction as well Nicolas. We explained what's been entered in the backend of in construction in Q3. So we have the first section [indiscernible] the part of VINCI construction for VINCI Energies as well. We have as well the [ LNG ] storage plant in the regard, the deal we announced a few weeks ago. And we entered as well this electrical interconnection between France and sale of VINCI Construction and VINCI Energies. And we are not as well is noted by [indiscernible] for VINCI Construction. 
Nicolas Mora: Perfect. And last one, if I may. Just on VINCI Energies because we were looking at tougher comps. It played out in Q2. It didn't play that in Q3 despite some fears of cyclical slowdown. The order intake is still pretty solid. There is -- you've talked about the only limiting staff availability, but there is still no sign of client exhaustion, especially on short cycle orders and industrial orders. 
Gregoire Thibault: No, I do [indiscernible] surprising but as we wrap up, we were expecting that the financial markets could have expected that in Q2 certianly the case in Q3, clearly in the retail. So again, at this stage, we don't see it in France, the base of growth is lower than what it was in Q1, which was obsolete [indiscernible]. But in France, revenue in Q3 was up 8% or a bit more than 8%, so it remains very, very, very dynamic. In international and [indiscernible] there was even an acceleration in the revenue base of growth in Q3 compared to Q2. So no we don't see a material time slowdown. We've done a very short-cycle projects in the [ industrial ] segment. Again, the energy transition between [indiscernible] behind that clear supports of the business. Would it stay like that -- exactly like that for the next quarter now? Who knows? That's what we think that is strongly depending on the very [indiscernible] growth story only the beginning. 
Operator: The next question is from Tobias Woerner with Stifel. 
Tobias Woerner: Two questions and both related to France really and slightly more sort of around sentiment. Number one, when you look into '24, and I don't expect you to give me any guidance for '21, but you've got a big event coming up in France. Your orders are looking up at the moment also when you look at the FNTP. But do you expect that the end of that event to mark a big difference in context of infrastructure-related work or is this much broader than the Olympics?
 The second question relates to your very small VINCI Immobilier business. I'd just like to get a sense of whether there have been any sort of signs of light at the end of the tunnel at all or whether this is pretty still -- there's complete lack of visibility at this point in time? 
Gregoire Thibault: Regarding [indiscernible] in 2024, the activity for growth, for example, will still be well oriented of these events. But again, I'm not sure it has a very clear impact of the total revenue of the VINCI Construction and [indiscernible] France Paris region VINCI [indiscernible] so I don't imagine they'll say, okay, there is an asset to the [indiscernible] Olympics finally, we are not considering already. And we don't want the Olympics to be behind us, standby [indiscernible] we will enter the positive [indiscernible] we will enter the positive side of the electoral cycle, [indiscernible] the next municipalization taking place in 2026. We don't see any effect on that, just mainly by year-end 2024, early 2025, we should have this positive effect.
 Regarding VINCI Immobilier, list at the end of the channel, it's difficult to know. Clearly, the situation is very difficult because high interest rates. So it means that it matters, the affordability for [indiscernible] macroeconomic momentum base institutional investors with resistance and [indiscernible] and it's difficult to borrow money and the inflation as [indiscernible] purchasing power of people, the local authority remain reliant to brand new building authorization.
 So all-in-all, let's say, the planets are not very aligned. So we do not think in the meantime that the crisis could last, probably, unless the government finally recognize the extreme severity of the [indiscernible] prices and add-on some revisions can be [indiscernible] measures and to add the setup because this is now the housing prices and tomorrow, it's really [indiscernible] the crisis. 
Tobias Woerner: Fair point. Actually, which leads me on to a follow-up question. I mean, in the U.K., the opposition party labor talks about building a significant amount of public housing or social housing in Germany. The income threshold was just raised for the effectively 0% mortgage rates. Do you see something similar happening in France? 
Gregoire Thibault: Actually, there was a new initiative, which has been [indiscernible] bit technical but which was what we call the 0 loan 0 [indiscernible]. And as far as I know, the only, let's say, measure, which have been taken so far with the France government, it's probably far from the in house. 
Tobias Woerner: Understood. And just -- sorry, I didn't hear the acoustic earlier not French, I don't know. When are the municipal elections early '25? 
Gregoire Thibault: No. It's 2026. 
Tobias Woerner: Okay. 2026. 
Operator: The next question is from Sonia Baldeira with Bloomberg Intelligence. 
Sonia Baldeira: It's very simple. I would like, please, just to have a sense how is the execution of the wind energy projects that you have mostly and more with offshore wind. In terms of bottlenecks, if you see something happen or if you just see the projects going on, on a normal basis and with no implications on margins in the future? 
Gregoire Thibault: We don't -- we are in the best position to answer this offshore question because with Cobra IS, we develop some renewable energy projects and believe that it's mainly for the solar project, the 1.1 gigawatt dimension in solar. And with the onshore wind project, it's not offshore. 
Sonia Baldeira: All right. But in terms of your wind projects, do you see any kind of trouble or bottlenecks that could affect -- I mean, this is just on the back of what just happened today in markets with Siemens. And so just everyone is worried about right now with execution of wind projects. And I just wonder, if you could have a word on how things go on your side? 
Gregoire Thibault: No, no, we cannot give any negative [indiscernible] regarding us and our businesses compared to what some of [indiscernible] announced. 
Operator: [Operator Instructions] Mr. Thibault, there are no more questions registered at this time. I turn the conference back to you for any closing remarks. 
Gregoire Thibault: Thank you very much. Good day for -- again, again, we tend for period of [indiscernible]. And we launch a new to follow us and we hope to see most of you in Madrid on 12th December for the Cobra IS. Have a nice evening. Bye-bye. 
Operator: Ladies and gentlemen, thank you for joining. The conference is now over, and you may disconnect your telephones.